Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the Sun Communities First Quarter 2022 Earnings Conference Call. At this time, management would like me to inform you that certain statements made during this call which are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that its expectations will be achieved. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday’s press release and from time-to-time in the company’s periodic filings with the SEC. The company undertakes no obligation to advise or update any forward-looking statements to reflect events or circumstances after the date of this release. Having said that, I would like to introduce management with us today, Gary Shiffman, Chairman and Chief Executive Officer; John McLaren, President and Chief Operating Officer; Karen Dearing, Chief Financial Officer; and Fernando Castro-Caratini, Senior Vice President, Finance and Capital Markets. After their remarks, we will have an opportunity to ask questions. I will now turn the program over to Gary Shiffman, Chairman and Chief Executive Officer. Mr. Shiffman, you may begin.
Gary Shiffman: Good morning and thank you for joining us as we discuss our first quarter 2022 results and growth initiatives and provide an update on our outlook. As anticipated, we delivered another strong quarter building on 2021’s momentum and positioning us for another solid year as we execute on each of our growth pillars, including organic growth, accretive acquisitions and developments. For the quarter, core FFO per share was $1.34, which is a 6.3% increase over last year. The ongoing demand for attainable housing and affordable vacationing continues to be evident in our platform is driving compelling ongoing organic growth. Applications to live in a Sun Community increased 6% and same property occupancy increased 160 basis points over the same time last year. Revenue-producing sites increased by approximately 30% compared to the first quarter of 2021. The majority of those were conversions of transient RV to annual RV leases, which provides us a 50% revenue uplift within the first year. In terms of acquisitions, in the first quarter and year-to-date through this call, we have completed approximately $1.6 billion of transactions, including the £950 million or $1.2 billion acquisition of Park Holidays. We are pleased to have completed the acquisition of the Park Holidays portfolio, which expands Sun’s total addressable market and takes advantage of our relative cost of capital within a very fragmented UK market. The acquisition of these 40 properties in many highly desirable seaside locations provides Sun with an additional platform for growth, driving on our expertise and proven track record. Park Holidays is a mirror image of our manufactured housing business with the same supply and demand drivers, the key revenues and a highly experienced and dedicated management team. Our manufactured housing business ended the quarter, with 96.7% total portfolio occupancy, a 20 basis point increase over last year. With compelling demand tailwinds, we are continuing to pursue Greenfield developments and expansion opportunities. Sun is uniquely positioned to capture this opportunity given our experienced development platform and team that has played an important role since we developed our first communities over 30 years ago. Within the RV business, robust demand continues as many new guests discover the joy and affordability of an RV vacation, which has only accelerated over the past 2 years. First quarter same-property RV revenue growth increased 20.5% compared to 2021. Furthermore, an outdoor industry leading monthly research report in March, indicated that 50% of campers have already booked trips for 2022, indicating the ongoing outdoor vacation in demand. Our Marina properties have also continued to perform well with overall performance exceeding our first quarter expectations. Our same-property marinas produced a 7.7% revenue increase this quarter compared to last year. Turning and subsequent to the first quarter, we added 4 marinas to our portfolio. With new locations strengthened Safe Harbor’s network effect as the largest operator of marinas in the United States. It also gives new boat owners and used boat owners additional opportunities to join as Safe Harbor members. Additionally, as you may have seen in the recent press release, I am excited to announce the promotion of Fernando Castro to Executive Vice President and Chief Financial Officer, effective May 2. I am pleased to have both Fernando and Karen with us on this call today to take any of your questions. Karen will play a key role in the CFO transition and will be staying on as an executive officer leading the UK integration efforts and advising on other corporate initiatives. Karen has deep experience integrating many acquisitions, including large corporate transactions, such as American Land Lease, Air Freight and Safe Harbor. With strong cycle tested record of operating, expanding and acquiring communities, Sun is favorably positioned to continue to deliver solid results. Of macro tailwinds we are seeing support growth across the business, the demand for attainable housing, outdoor vacationing and marinas slips and storage has sustained through economic cycles and Sun is uniquely positioned to meet these customer needs. Furthermore, with the closing of Park Holidays, we look forward to continuing to establish a presence among the fragmented UK market. We have a highly talented and experienced team across our entire organization and we are excited about the opportunity to continue to build and Sun’s best-in-class platform. I will now turn the call over to John and Fernando to discuss our results in further detail.
John McLaren: Thank you, Gary. Our team delivered an excellent quarter of operational results. Sun same-property MH and RV NOI growth for the first quarter was 7.7%, a 150 basis point increase over the high end of guidance. This was driven by a 9.2% increase in revenues, offset by a 12.7% increase in property operating expenses. Our performance during the first quarter was driven by annual RV revenues given increased annual RV conversions and transient RV revenues, which benefited from a full return of our Canadian snowbirds and strong rate and occupancy growth in the first quarter. The weighted average rental increase was 4.2% for the quarter and occupancy increased by 160 basis points. Marinas same-property revenues were up 7.7% for the quarter, driven by rental rate, occupancy gains and transient revenues. Same-property marina NOI growth was 1.2% as certain expenses were unseasonably higher during the first quarter. The first quarter is the lowest contributor to NOI from a seasonality perspective at 18%, and therefore, higher expenses had a disproportionate impact to NOI growth. That said, current demand, leasing activity and forward visibility into the strong start to the summer boating season helps us reaffirm the full year NOI growth guidance to 6% to 7.4%. Performance for the overall marina platform exceeded expectations as we also experienced stronger demand for service by our members. Our acquisitions of approximately $1.6 billion during and subsequent to the end of the first quarter included the 41 UK properties, with over 16,700 sites and 4 marinas with nearly 900 wet slips and dry storage spaces. This also includes Sandy Bay, a popular Southern England’s [indiscernible] retirement manufactured housing community for approximately $184 million, consisting of approximately 600 occupied sites with an additional 600 expansion sites that we expect to build out over the coming years. Additionally, we disposed the three assets of Florida in the first quarter for a total of $29.6 million as we continue to optimize our portfolio. As of today, our total platform includes 644 properties throughout the United States, Canada and the United Kingdom. As Gary mentioned, applications to live in a Sun community increased 6% compared to the first quarter of 2021. For the quarter, Sun sold over 800 new and pre-owned homes in line with last year. Our new home selling price increased by almost 17% to almost $180,000 and we maintained margins compared to last year. Additionally, our brokered home selling price increased by 35.4% in the quarter, which demonstrates the value proposition for residents to come to live in a Sun community. Our total portfolio occupancy as of March 31 was 97.5%. And during the quarter, we gained 670 revenue-producing sites with the majority being RV transient annual lease conversions. Funds inventory of nearly 11,000 zone and titled manufactured housing and RV sites provides Sun with an investment pipeline to fuel growth for many years as we execute on our development plans. In addition, we have a significant pipeline of land for future development within the entitlement process that will enable us to be in a position to meet the increasing demand for attainable housing across the country. We plan to start development of 5 new Greenfield manufactured housing communities in 2022, with 2 communities actively under construction today with first phases anticipated to open late this year in Colorado and Florida. Forward bookings for our Sun-owned and operated RV resorts are pacing approximately 5% ahead compared to the same time last year for the second quarter. As you will recall, the second quarter of 2021 delivered strong results as all resorts were open in a very high demand. They are pacing 13% ahead for the second half of the year. Our RV same-property NOI growth of almost 23% compared to the first quarter of 2021 shows the continued demand for outdoor vacationing, which benefited from the Canadian border being open for our Snowbird Residency S. There is a lot of conversation around the potential impact of inflation and rising gas prices. We are also pleased to see the continued strong forward bookings for the remainder of the year, which we believe is a solid indicator of an RV vacations continued desirability. Operationally, Sun had a very positive quarter due to the diligent effort of all team members. Fernando will now discuss our financial results in more detail. Fernando?
Fernando Castro-Caratini: Thank you, John. I would first like to say I am honored to be assuming the role of CFO. Sun is a tremendous company and I look forward to continuing to help drive and support our growth. I’d like to thank Karen for her mentorship and guidance through the years and look forward to collaborating with her for many years to come. For the first quarter, Sun reported core FFO per share of $1.34 and representing 6.3% growth over the first quarter of 2021 and $0.07 ahead of the top end of our first quarter guidance range. We have had an active year-to-date on the capital markets front, closing on the Park Holidays transaction on April 8 at a purchase price of approximately £950 million, which was funded entirely on our new $4.2 billion multicurrency revolving credit and term loan facility. Additionally, we settled forward equity contracts on approximately 5.2 million shares for $935 million of net proceeds. These proceeds were used to pay down U.S. dollar borrowings on our credit facility. In early April, Sun issued $600 million of senior unsecured notes. Net proceeds were used to pay down the remaining U.S. dollar balance on the revolver. In conjunction with the unsecured notes offering, Sun settled four 10-year treasury rate locks totaling $600 million for a payment to the company of $35 million, lowering our effective interest rate on the notes from 4.2% to 3.6%. We have approximately 1.2 million shares or $230 million of forward equity contracts outstanding after selling 600,000 shares at the end of the first quarter. As of March 31, Sun had $6.1 billion of debt outstanding at a 3% weighted average rate and a weighted average maturity of 8.1 years. We had $90 million of unrestricted cash on hand and a net debt to trailing 12-month recurring EBITDA ratio of 5.9x. Our pro forma leverage on a fully loaded basis for all acquisition and capital markets activity to-date is in the mid-5x. Given our outperformance for the first quarter and outlook for the remainder of the year, we are increasing our full year FFO per share guidance range to $7.20 to $7.32, which represents a 1.5% increase at the midpoint. Full year manufactured housing and RV same-property NOI growth is increasing to a range of 6.5% to 7.3% and we affirm full year marina same-property NOI growth at 6% to 7.4%. For additional details and second quarter expectations, please see our supplemental disclosure. As a reminder, our guidance includes acquisitions through the date of this call, but does not include the impact of prospective acquisitions or capital markets activities, which maybe included in research analyst estimates. This concludes our prepared remarks. We will now open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Keegan Carl with Berenberg. Please proceed with your question.
Keegan Carl: Hi, guys. Thanks for taking the question. Maybe first, just on your MH and RV same-property NOI growth provisions. Can you give us a little bit more color behind what’s driving it?
Gary Shiffman: Hi, Keegan. The outperformance in the first quarter on MH and RV same property was really driven by the RV portfolio with stronger performance from the annual side as we exceeded our expectations of conversions of transient sites to annual leases as well as on transient revenue, both from the performance of – for the quarter based on the comp against the first quarter of 2021, where we had – where we were affected by the Canadian border closure and the California state home orders. Both of those as well as a little bit of outperformance on the MH side led to our 7.7% combined NOI growth.
Keegan Carl: Got it. Just on the transient real quick. I mean how is it trending versus your previously issued guidance?
John McLaren: It’s trading – go ahead, Fernando.
Fernando Castro-Caratini: It’s trending – the expectations for the remainder of the year and for our original budget are ahead of our original expectations. For the year, we would be forecasting this is inclusive of the first quarter, somewhere between 11% to 13% growth in transient RV.
Keegan Carl: Got it. And then shifting gears a little bit here. As far as disclosure for Holiday Parks, I thought you guys classified them as MH your acquisition. Just kind of curious what the rationale is for this maybe you’re not breaking out as a separate entity? And then finally, I mean, should we expect these to be reported in the MH, RV bucket going forward?
Gary Shiffman: As far as reporting goes, I think they will be in the MH RV bucket going forward. And our view on them, as we’ve shared, is that they are more permanent than our manufacturing housing homes here in the U.S. and that they are actually a truck down a lower to the site, craned onto the site tied down to the ground, and they do not have the types of wheels and axles that we have here in the U.S. So they are not as permanent as they can be. And then the fact that the average licenses as they call them there as opposed to leases around 20 to 30 years, makes it kind of what we would consider the quintessential land lease type community. So we are about as much as we can compare to manufactured housing as we’ve seen out there. They do – they are second homes, however, they must have a primary resonance in order to acquire and be licensed in a holiday park, and primarily, therefore, vacationing as a second business.
Keegan Carl: Got it. Very clear.
Karen Dearing: To be clear, the team will be going through, just like they did for the Marinas, they’ll be going through all of our reporting and all of the considerations regarding segments and supplemental reporting and really to create the most transparent way to view the Holiday Parks and particularly planning for them going into the future and being included in the same community. But we do truly see them as manufactured housing.
Keegan Carl: Got it. Very clear. Thanks, guys.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Good morning. Congratulations to Karen and Fernando. The Marina performance on NOI came in a little bit light due to high expenses as you alluded to. I was wondering if you could break down the same-store Marina revenue and expense guidance for 2022.
Fernando Castro-Caratini: Sure, John. This is Fernando. So we are – on the NOI side, we affirmed guidance at 6% to 7.4%. This would translate to – at the midpoint to revenue growth of about 6% and expense growth of about 5%.
John Kim: So why was the first quarter unusually high on expenses?
Fernando Castro-Caratini: It was a little bit higher due to utility costs in the quarter that were unseasonably higher. But the – as we look at – as we have visibility towards the remainder of the year, both from a top line and expense standpoint, we did make adjustments that will help us hit the original guidance of 6% to 7.4%. We had stronger revenue growth on the wet slip and dry storage spaces. And overall, the Marina platform did exceed our first quarter expectations with stronger service demand from our members.
John Kim: Okay. And then John mentioned in your prepared remarks that forward bookings for RVs are trending 5% kind of last year in the second quarter. Your guidance for same-store MH and RV is just 3.9% at the midpoint. What’s the offset to the higher demand you’re seeing on the RV side?
Fernando Castro-Caratini: John, the offset – it would have been an offset from a comp standpoint, we did have the first quarter of 2021, where we had around $6 million less in that quarter because of the Canadian border closure and the California stay at home orders than we would have expected. So the – we’re not expecting close to 30% revenue growth in – for the rest of the year on the RV side given that the comparables for the remainder of the year are more normalized from that perspective.
John Kim: Right. But bookings are 5% ahead of schedule for RV. So is MH slowing that down below that? Or is it fewer conversions to transient? Or I’m just wondering why the guidance doesn’t suggest something higher than 3.9%?
Fernando Castro-Caratini: We have in the in – as we’ve shared before, we instituted a payroll increase across the portfolio that is impacting expenses for the first half of the year. We saw that impact in the first quarter and would expect that again in the second quarter expense growth for the second half of the year will normalize as we don’t have that step function increase that went in, in July of 2021.
John Kim: Okay, got it. Thank you.
Operator: Our next question comes from the line of John Pawlowski with Green Street Advisors. Please proceed with our question.
John Pawlowski: Thank you for the time. John, on the RV rental rate side, 6% rent growth in the quarter. Should we expect that to accelerate from here or kind of hold steady in the 6% range?
John McLaren: John. I appreciate the question. I think it’s going to hold steady. It could be up a little bit.
John Pawlowski: Okay. Great. And then last one for me. In terms of the UK Park holiday G&A. So should we expect additional step changes in year 2 and 3 of owning this business similar to what we saw with Safe Harbor trying to get comfortable around the scalability of the expenses that are hitting right now and what’s to come beyond this year?
Karen Dearing: I think that Park Holidays is a small – they are a smaller business that we are changing them from privately held company to us of a publicly held company. So there although they have placed some of those increases in their G&A for 2022, we will see what the future holds. And dependent on acquisition activity and things of that nature, you may see some amount of increase into the following year just to really bring them up to the level that they need to be in order to provide the reporting and the timing of reporting along with all of their statutory reporting requirements in the UK.
Gary Shiffman: It’s Gary, John. I’ll just add to that point, I think the opportunity we’re looking at with expansion taking place there right now, 700 sites that are under construction of 700 sites beyond that. Any additional G&A would be commensurate with the outsized growth we expect to get there. So as we really operate for the first 12 months, we would expect to be certain scalability and yet certain increased G&A as we get through all of the adjustments to get into the reporting here properly in the U.S. and to support their continued growth out there. So I think we will be able to share more quarter-by-quarter with you.
John Pawlowski: Okay. But in terms of G&A as a percent of revenues for Park Holidays, we should expect it to be stable beyond this year?
Karen Dearing: Yes, I think that would be the case.
John Pawlowski: Okay, thank you.
Operator: Our next question comes from the line of Nick Joseph from Citi. Please proceed with the question.
Nick Joseph: Thank you. Maybe just starting off, I just wanted to clarify something. So the first quarter same-store marina performance was actually ahead of expectations. Is that right? Because there was some conversation obviously around the expenses and kind of the remainder of the year, but I just wanted to clarify the exceeded expectations? Or is that relative to the entire portfolio?
John McLaren: Nick, relative to the entire portfolio, we exceeded our expectations with stronger demand for service from our members. Our – on the same-property side, we did have the 1.2% growth, which was slightly below our original expectations. But as John explained during the prepared remarks, the first quarter is the lowest contributor from a seasonality perspective. So, a few hundred thousand dollars have an outsized impact on the performance for the quarter. That being said, the top line performed extremely well and visibility into the start of the northern boating season has us very excited for what we can deliver for the rest of the year.
Nick Joseph: Thanks. And then maybe just on marinas, there were some press articles yesterday on one of the large owners considering its future plans. How does their portfolio compare to Safe Harbor? And then would new capital sources for the company increased competition for Marina acquisition?
John McLaren: It’s Gary, Nick. I think that we filed Suntex for the last 5 years as we filed safe harbor in the Marina business. And certainly, appreciate the fact that they have been growing to a scale that they are considering an IPO as one of their alternatives. There has been very little change to the general market, to the cap rates as Safe Harbor has been able to increase its size by over 60% in an 18, 20-month period of time, very, very carefully thought through strategic acquisitions to improve the footprint, network, the membership and my expectation would be that with a fragmented business with the current availability of Sun Securities and the networking through the patriotic’s so influential in the industry that reside over at Safe Harbor that we should be able to continue to grow regardless of Suntex pull to continue to grow or to do an IPO or anything like that. So for the foreseeable future, Safe Harbor really has the ability to proceed as it’s been proceeding.
Nick Joseph: Thank you.
Operator: Our next question comes from the line of Joshua Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Hi, everyone. Just curious on the Marina same-store, what – it looks like you just include property operating expenses. I think it’s my understanding, and please correct me if I’m wrong, but if that does not include waiver? And then if it’s like outside waiver and if it doesn’t, what’s the rationale for not including that in Marina same-store expenses?
Fernando Castro-Caratini: Josh, we our Marina same-store is on a real property basis. We are evaluating and could potentially in the future, report service, retail, dining and entertainment on a same-store basis as well, and we can update the market at that time. But it includes all of the expenses that go into operating the marina.
Karen Dearing: Including payroll to operate the Marina.
Joshua Dennerlein: All including payroll, so like mechanic, stock hands that’s included in the property operating expenses or somewhere else?
Fernando Castro-Caratini: If that labor is working on servicing a vessel, that is included in expenses for SR D&E.
Joshua Dennerlein: Okay.
Gary Shiffman: The fuel docs, everything else that’s related to the actual operating of the wet slips and dry storage is included everything.
Joshua Dennerlein: Included in – is it included in that $24.4 million for same-store? Or...
Gary Shiffman: It’s included in the same-store that we reported.
Joshua Dennerlein: Okay. I will follow-up offline. And then my other question is related to Park Holidays, you mentioned that the resident has to get a license to have that home. Is that from the government or as you as the owner?
John McLaren: No. This is – that’s basically equates on our side to having at least the terminology is a license and basically guarantees them the ability to have that site anywhere from 20 years to 30 years, Josh. So, it’s from Park Holidays.
Joshua Dennerlein: Okay. So, that’s something you could change if you wanted to. Would that be something you would be willing to change, or you would like this kind of set up?
Gary Shiffman: If we saw a reason to change it, we could change it, yes.
Joshua Dennerlein: Okay. Awesome…
Fernando Castro-Caratini: Yes, going forward, yes.
Joshua Dennerlein: Okay. Alright. Thank you, guys.
Operator: Our next question comes from the line of Wes Golladay with Robert W. Baird. Please proceed with your question.
Wes Golladay: Hi everyone. I just want to look at the second half pace. I believe you said it was up 13%. At this time, how much do you have on the books for the second half? And is that mostly driven by rate or occupancy?
Fernando Castro-Caratini: I don’t have the figure of what we actually have on the books right in front of me, Wes, but it’s a balance between both. I mean typically, I think we have seen again, a pretty even balance between both rate and occupancy. One of the things that we have been really focused on is those extensions into the shoulder days. They are around the normal Saturday stay that you might have and picking up more Mondays, picking up more Thursdays along the way to extend that a bit.
Wes Golladay: Got it. And can you provide an update on your loyalty program initiatives right now?
Fernando Castro-Caratini: Sure. It’s – so we have got a number of properties that are still in that program. We are going to continue to keep it in pilot mode, if you will, probably for the next six months because obviously, the learnings have been enlightening through the process. We have got, I think approximately 5,000 members within the loyalty program today. And it’s, like I said, it’s important to keep it in pilot stage until we go to a full launch and just gather the learnings that we are picking up along the way. Much of what the benefit that our guests are getting within the pilot from the program are geared towards bringing them back to the properties and growing the spend within the properties rather than outside of the loyalty program.
Wes Golladay: Got it. And then on the acquisition front – sorry.
Fernando Castro-Caratini: I will look forward to updating you as subsequent calls along the way too, as we get closer.
Wes Golladay: Okay. And then on the acquisition front, looking at the Jarrett Bay assets, there is not a lot of slips there. Maybe can you talk about what you are thinking of those assets?
Gary Shiffman: Wes, it’s Gary. Jarrett Bay really is a very strategic acquisition for Safe Harbor. It does have potential for split expansion. But it’s one of the very few service centers for large vessels situated between Maryland and Georgia. It’s in close proximity to one of our very large Marina, City Marina and Charleston and is a perfect network addition, as I said, for Safe Harbor members traveling north and south on the East Coast between our Southern old port Cove, Rivet and Lauderdale Marina in the south all the way up to our Northern Newport Beach and other Marinas. So, we just think it’s a great opportunity to expand the network capabilities for our members, and that is part of the underlying strategy that we think differentiates Safe Harbor from any of the competition.
Wes Golladay: Thanks a lot.
Operator: Our next question comes from the line of Samir Khanal with Evercore. Please proceed with your question.
Samir Khanal: Yes. Hi, good morning everyone. Gary, can you talk about expand on the transaction market a little bit more? I know you provided a little bit of color on the marina side, but just kind of looking at what you are seeing in the overall market in light of bond yield moving up? And maybe there is a way to kind of talk about sort of MH and RV sort of bifurcate that and sort of the demand you are seeing?
Gary Shiffman: Sure. It’s an interesting question, Samir. I can sit here and tell everybody that we have seen no impact to cap rates and either the MH/RV or marina space thus far. I think the best example of that is that John shared with you the fact that we disposed of three manufactured housing communities last quarter and the cap rate on a trailing basis was 3.5%. These obviously were not in our trophy assets. So, it gives you some sense of the demand that’s out there. I think looking forward for right now what we have in the pipeline reflects pretty much what we have had for some time now on the manufactured housing side is strictly relationship-oriented. And oftentimes, we can’t use Sun securities or tax deferral to make transactions. And I think that there is continued focus on that and a little bit more interest by people and relationships we have talked to. We are seeing the interest rate environment change. So, we suspect in onesies and twosies to be able to capture that manufactured housing acquisition type property. At the same time, recognizing that manufactured housing has been so consolidated. We have definitely ratcheted up our desire to increase new development of manufactured housing where we can build to higher yields than buy. John shared with you, we expect to be developing approximately five new manufactured housing communities per year going forward and have geared up for that for the last 4 years or 5 years. And then we look to the UK for really an exciting opportunity on both the Holiday Park side to continue to expand their communities and look for additional acquisitions. Those appear to be in cap rates that are 300 points to 400 points higher than what we are seeing in the U.S. So, great opportunity there. And then on the marina side, as I shared with you earlier, still a very fragmented industry with limited competition. So, we expect to continue to deploy capital on external growth through acquisitions in marina as well.
Samir Khanal: Great. Thanks for the color. And I guess just switching gears on the marina same-store NOI growth. And I know for the second quarter, you have provided a pretty wide range, right, like $57 million to $73 million. Just trying to understand, basically sort of two months left in the quarter, can you talk about kind of what the swing factor is to get you kind of the low end and the top end of that range?
Gary Shiffman: Well. Certainly it is a wide range, and we are early into the season. I think John shared in his remarks that or Fernando, we are seeing strong demand, we are seeing the extension of certain leases that perhaps some of the vessels would have been traveling across the Atlantic overseas, but for some of the geopolitical situation taking there. So, we are kind of excited about what we see, and we will look towards the next call to be able to share the actual results.
Fernando Castro-Caratini: And Samir, just for reference, right. It’s a smaller portfolio, standalone portfolio from a marina standpoint. So again, a shift of a few dollars has a greater impact both up or down. So, that’s why the range is just slightly – it doesn’t amount to a large dollar amount from a range standpoint.
Samir Khanal: Got it. And my last question, if I may, Fernando, on the expense growth for the balance of the year? I mean how should we think about the cadence of that in the remaining quarters here?
Fernando Castro-Caratini: As shared earlier, we are expecting expense growth to be somewhere around the 5% range on a full year basis. So, a deceleration from what we saw in the first quarter is expected.
Samir Khanal: Okay. Thanks very much.
Operator: Our next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good morning. Thanks a lot for taking my question and congratulations on your new roles, Karen and Fernando. As we think about MH rents keeping pace with inflation, same-property MH rent per site in the first quarter came in below the low end of your initial guidance range of 4% to 4.2%. And – as we think about how that progresses, should that accelerate through the year and finish above the high end of the range? And does that kind of become the run rate going forward above 4.2%?
John McLaren: This is John. Thanks for the question. The quick answer to your question is yes. Our guided MH rent increase for 2022 at the midpoint is 4.1%, which is, as you know, already above our historical range. I think going forward we are going to have some good opportunity over the course of 2022 to potentially achieve higher than that range as more MH move-ins and re-sales take place across the portfolio over the balance of the year. And then even in locations such as Florida and California, where many of those rent increases are tied to some form of CPI, I expect to see higher increases as the year progresses and into 2023. So, yes, I mean again, the quick answer is yes, we expect it to accelerate.
Michael Goldsmith: That’s really helpful. And then as we think about transient RV, it was ahead of expectations in the first quarter. It seems like forward bookings? Have you ahead of last year? Does this change how you think about kind of like where the ultimate level of transient RV demand falls relative to pre-COVID levels?
John McLaren: Yes. I will put it this way. RV performance is nothing short of outstanding, okay. We had over 230,000 new guests in our resorts last year, which in part led to the record high conversions of transient to annual leases that we had was 1,700, which was like a 70% increase over any other year. So, we had in conversions as well as close to 600 conversions in the first quarter alone. So, that – the booking pace being 13% ahead of the second half of last year represents a record upon a record okay, that we have. And so as I said on other calls, it’s like we established a new baseline to grow from, and we look for that to continue to grow.
Michael Goldsmith: Thanks. And if I can squeeze one more in. It’s been five months since you announced the transaction for Park Holidays. How has that market evolved since then? Have valuations changed? Has competition evolved? And then do you see yourself bidding on some of the larger portfolios, or is this a roll-up of kind of the onesies and twosies from here on?
Gary Shiffman: I think – this is Gary and John can add. He has really been working closely with the Park Group and everything we are doing out there. But I think we see things pretty steady as we saw when we first entered the space. Obviously, there is a lot of interest in focus when Sun makes an important move in a new country like that. There are a lot of people out there looking at the asset class. But we would look at mostly onesies and twosies and really levering off of a 15-year expertise of the management that’s in place to grow the existing communities to acquire new ground, to apply their skills and their sales force to build new communities as well as consolidate in the onesies and twosies. So, that would be our focus. I think the larger portfolios that we know, obviously, we see they are presented to us, but the complexities involved are far from the simple business that we look for there, which is increasing our manufactured housing communities because of the stickiness of the rent and all the real characteristics that make it so attractive for growth. So, it will be the onesies and in twosies, maybe small portfolio, much like we do here right now.
Michael Goldsmith: Thank you very much.
Operator: Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi. Good morning. Maybe a follow-up to that question. How are cap rates for the onesies and twosies in the UK compared to portfolio cap rate? And how to both compare to what you are seeing for an MH in the U.S.?
Gary Shiffman: I want to be careful what I say here because the pipeline is so full, and we are negotiating in a proprietary way with so many people over there. But I am going to suggest that the cap rates – exceed cap rates here by more than 400 basis points at least.
Anthony Powell: Got it. Alright. Thanks for that. And maybe just switching gears to the development. You mentioned you are doing five new communities per year. Is there maybe an opportunity to increase that? We have seen a lot more concern with portable housing options in the U.S., has the conversation changed with local communities regarding MH development? And is that an opportunity for you over the long run?
John McLaren: Hi. This is John. Thanks. Yes, the answer to that is yes. Like we shared before, we have five new MH ground-up starts that are happening this year, two are in the ground. Interesting thing that’s taken place, we actually have added a couple more to that account with respect to MH projects that were in flight by others that we are developing them that we have taken over those projects. And so really, what we expect to start this year is going to be more in the range of seven to eight MH communities as a result of that. So, we will continue to look for those opportunities to add to that five a year that we have shared that we expect to do.
Anthony Powell: Alright. Thank you.
Operator: That is all the time we have for questions. I would like to hand the call back to management for closing remarks.
John McLaren: This is – Gary and I too, would like to congratulate Fernando and Karen. Thank you all for your participation. As I always close, we are all available for any follow-up questions. We are very excited for the growth opportunity we have in front of us and look forward to reporting next quarter. Thank you everyone.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.